Operator: Good day and welcome to the Haverty’s Second Quarter 2015 Financial Results Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Dennis Fink, Executive Vice President and Chief Financial Officer. Please go ahead.
Dennis Fink: Thank you and good morning, everyone. During this conference, we’ll make forward-looking statements, which are subject to risks and uncertainties. Actual results may differ materially from those made or implied in such statements, which speak only as of the date they are made and which we undertake no obligation to publicly update or revise. Factors that could cause actual results to differ include economic and competitive conditions and other uncertainties detailed in the company’s reports filed with the SEC. Our President, CEO and Chairman, Clarence Smith will now give us some perspective on our progress. Clarence?
Clarence Smith: Good morning. Thank you for joining our second quarter conference call. We reported earlier this month sales for the second quarter increased 7.2% to $197.7 million compared with $175.1 million for the second quarter of 2014. Comparable store sales increased 4.8%. Earnings per share for the second quarter and for the first half of 2015 were flat at $0.21 and $0.48 respectively. Our average ticket continue to increase up 3.3% to over $2000. Delivered sales for Q3 to-date are up 8.9% with comp store sales up 7%, written sales were up 4.4% with comp store sales up 2.1% to-date for Q3. Our deliveries were stronger than our written business as we began to bring down the high backlog caused by imported products delayed from the West Coast port slowdown and back order production from Asian suppliers since Chinese New Year. The month of July will be our best delivered sales month since December of 2014. Last month, I traveled to Asia with our Executive Vice President of Merchandise, Richard Gallagher and Matt Scalf, VP of Import Services to visit our main factories in China and Vietnam. We were joined by our dedicated Asian quality leadership team and met with the owners and leadership of our key suppliers. The major transition to new factories in Asia that began in mid-year 2014 is more complete and we’re seeing continued improvement in our case goods, flow of product and sales. This was my first visit in five years, but I felt it was important for us to visit in-person the main players as we consolidate production and strengthen ties in this ever-changing supplier region. I am confident that we will have some of the strong - that we have some of the strongest relationships with the top producers of furniture in Asia and that we will receive excellent service for the foreseeable future. I return very excited about the collections and products we’ve developed and expect to arrive for the fall selling season. Customer upholstery continue to show strong performance as we improve our product line up and have faster delivery from our domestic upholstery suppliers. We continue to offer the latest fashion features and new easy cleaning fabrics to appeal to young mothers and millennials. We’ve also seen an increase in our wooden case good sales particularly in dining and bedroom with improved fulfillment times on some of our bestsellers and new product collections. Our accessory program is growing nicely and is a major factor and helping to complete the whole home for our H design program and our customers. We now have a 110 in-home designers on staff in our stores and they’ve been a significant factor in generating new business, increasing our average sale and satisfying our customers. We’re continuing to improve the designer and decorator experience and expect that there will be a lot of opportunity in the coming months as we gain traction in more of our stores and raise the level of sales and design services offered. Our designers are actively using our enhanced 3D Room Planner in their presentations which gives our team a professionalism and experience unavailable elsewhere in our markets. Because we’ve been aggressively bringing on trained designers who are primarily on salary, our selling expenses have risen for the year. Our store operations team has spent the past year focusing of hiring, training and developing sales associates and managers. We’ve named the program selling by design, engaging every customer, customizing every experience. This professionally developed program has just been rolled out in a series of consolidated multi-day meetings here in Atlanta for all of our sales and store managers to better prepare and coach our sales associates. This program is built on energize and collaborative coaching techniques and standardize for every market. We feel that selling by design is an excellent complement to our H designers and helps bring our entire selling team together on engaging and serving our customers better than any of our competitors. We’ve already seen a positive response to our sales trading initiatives and expect we’ll see improved customer engagement, higher closing rates and average ticket in the coming months. Much of our home office team is focused on the final stages of rolling out our new updated website. We believe that the major enhancements will make havertys.com the most engaging and easy-to-use furniture website anywhere. The new site will adapt to any size format with the particular focus on mobile presentations. We expect to have the rollout next month in time for the important fall selling season. We’re expanding our store portfolio and expect to increase selling square footage by about 3.2% this year increasing our store count to 122 from 119 at the end of 2014. We're also building a consistent presentation in every market. Our five year - multi-year Bright Inspiration program is near completion with major store innovations completing in the third quarter in Greenville, South Carolina, Lakeland, Florida and Palm Harbor, Florida. We're very excited about the opening of our new 40,000 square-foot store in Fort Lauderdale, which we expect to open in late August. It was formerly a furniture store and has been extensively remodeled. We expect CapEx for 2015 to be in the $32 million to $33 million range for these and other projects which will be completed in 2016. We're very encouraged about the recent trend of improved deliveries and are excited about the energy of our team and the prospects for improved performance for the rest of the year and into 2016. I now like to turn the call back over to Dennis.
Dennis Fink: Thank you, Clarence. The earnings press release for the second quarter last night covered the financial highlights and I'll expand on a few of those points now before we open up the call to your questions. Our practices to give updated guidance for expected gross margins and SG&A expenses for the current years within each of our earnings releases. We don't publicize any sales forecast but we do announce our actual sales within a few days after each quarter and disclose how sales for the new quarter-to-date are trending when we announced quarterly earnings like we did last night. The second quarter of 2015 SG&A expenses were up a tenth of a percent of sales and a little better than our overall expectations. Overhead cost driven by four additional stores opened this year versus last year's second quarter were the part of the reason. The fixed and discretionary type expenses within SG&A came in at $58.6 million for the quarter little lower than we had expected a $3 million higher than the prior year mainly due to the depreciation of occupancy from expansion and partly due to additional management administrative operations staff in the new locations. Also we have mentioned is that we do have three stores where we located last year to more expensive and productive locations in existing markets. Within this fixed and discretionary type expenses, advertising spend was up about $0.6 million over the second quarter a year ago as we got our message out in two new markets increased our awareness as we grew our store base in Southeast Florida. Mostly offsetting these less than planned expenses were higher variable cost at 18.2% of sales partly from additional sales and designer associates coming on board. Conditions earned less than initial minimums in the first few months for new locations and a slight shift in the mix of credit promotions. We do expect these variable expenses to be lower in the second half of 2015 than in the first half as a percent of sales. And the full year is expected to be at the higher end of the 17.5% to 17.7% range in our previous guidance. 2015 full year fixed and discretionary SG&A are still estimated to be $239 million to $241 million as we said in the press release with each of these remaining - of the remaining two quarters in 2015 likely to be around $62 million. We planned to have four store openings for the full year in 2015. There is one opening left to go next month and when closing of an old store in November. The 2015 weighted average retail square footage increase is expected to be about 3.3%, the first half it's 2.6% and the second half it's about 3.9% increase over the same second half period last year. Our inventory increase during the first half by $5.2 million or 4.9% compared to a year ago, we were significantly under stocked at that time and not fulfilling customer demand as properly as we desired. We want to have faster and more predictable delivery times for our shoppers, also we want to be a little less susceptible to lead time fluctuation caused by availability of slots on containerships, labor issues in ports and other events and the supply chain they're just out of our control. Our product assortment is wider now, but we do expect to contain the inventory level in the rest of the year even as sales increase seasonally over the next six months. We also will be increasing close-out activity to have the most room in our distribution centers for our bestsellers. The weighted average diluted common stock for the second quarter of 2015 is 22,955 million. Operator, I think at this time we'll go ahead and open up for questions.
Operator: [Operator Instructions] We’ll take our first question from Brad Thomas. Please go ahead.
Brad Thomas: Hey, good morning Clarence and Dennis.
Clarence Smith: Good morning Brad.
Brad Thomas: A couple of questions if I could. First with respect to sales, any color that you all could provide in terms of geographically how things have played out? It would very helpful.
Clarence Smith: Well, Brad, we have been impacted somewhat in Texas. But we've had really nice balance throughout the region and we think that will continue. We're pleased to see the balance and I think that some other reasons that it's been hid out in Dallas and Texas will start to come back. But I think it's been a very good balance frankly. We have seen growth and continue to see growth in Florida as we've talked about. But we've also seen the other regions doing well.
Brad Thomas: And besides the - some of the competitive challenges in the Dallas area, is there anything else that you are seeing in a more oil related regions of the country?
Clarence Smith: Yeah, that's affected the Western - far west of the - in Texas where we are somewhat for sure. But Texas is a strong state and I think it's going to handle that downturn pretty well.
Brad Thomas: Great. And then just turning to gross margin. It's been trending down a little bit and we will start to lapse and close out activity that you had at the end of last year. I mean Clarence as you think about the gross margin over the next couple of years. Do you think there is an opportunity to get it moving back up in an upward direction?
Clarence Smith: Yeah, I do. Dennis has mentioned and about we've had some close out activity and I do see particularly as we are bringing in our improved case goods program which is we've designed and had designed for us by professional. We are very excited about a number of the collections coming that's where we can gain margin because its exclusivity and the fact they were sourcing it and bringing it in direct and as that part improves and grows I think there is where we have the most margin opportunity. We also have significant margin opportunities in special order as you would guess and we are doing more of that. So yeah, I think beyond what Dennis is giving you here, I think there is some opportunities for margin increasing.
Brad Thomas: Great. And then on the new collections within case goods, have those started to hit the P&L or when would they start to flow through the P&L in terms of booked sales?
Clarence Smith: They've started now more of it coming in the fall. It's actually helped us in our overall margin already. So it's coming now, it's product that has coming since Chinese New Year and then we have a number of collections coming in, in the next several months.
Dennis Fink: Brad, all of that is included in the guidance for the year. But next year Clarence mentioned and beyond there is some upside possibility.
Brad Thomas: Great. And then just one last question about ownership of land and other property. It's a topic that's coming up in the industry from an investor stand point. Could you maybe just talk about the importance to you all of owning property rather than leasing it?
Clarence Smith: Let me give you a perspective and let Dennis jump into. I think owning the property gives us the most flexibility to do what we need to in the market and we own almost a 35% to 40% of our stores somewhere in that range. And I would not want to tie us up to sell those at the top of the market and then I have to pay those kind of rents back. That's a burden that I don't think our industry can handle. We've been through a downturn as you know several years ago came out of it we were able to pick up some leases which I think was positive for us. But the fact that you own the properties does give you the most flexibility to do what you need to do. Dennis?
Dennis Fink: Yeah, I'll add to that, I agree with that completely. First thing you do when you sale leasebacks is whatever gain there is over book value you pay income tax loan and so you dilute the amount that you get out of course the cash then is less than that markup value. We have a little under 100 million of owned properties net book value. It's not of the size that is something that separate entity could standalone and be sufficiently I guess just in an efficient way to be standalone entity that would sustain itself. We've done sale leaseback packages in the past and we found them very restrictive and whereas if you own on a building with some appreciated value which you got a better location that you want to go to. You can move it at your exact timetable and you don't have to batch up or replace properties or get into the full well return on some group of stores that you're trying to convince on lender or owner about the swap ability. Also then we've had properties that are in leaseback packages and they're on their - some we've had for 10, 15 years and they're on their fourth owner and every time you go through that the new owner who pays more for the buildings. Once you go there on due diligence and we owe that to them, we put something out on the sale leaseback market. And so we have to respond to that. It's time consuming and it's really just better than flexibility standpoint to own a real estate. When we look at new opportunities almost all lease look at leasing but we have the cash to sustain ourselves and if we need to buy a property and develop it ourselves. So we think we've got the best set up and plan to continue on that basis.
Brad Thomas: Very helpful. Thank you so much guys.
Clarence Smith: Thank you Brad.
Operator: And we'll take our next question from Budd Bugatch. Please go ahead.
Unidentified Analyst: Good morning, Clarence and Dennis. This is David on for Budd. How are you?
Clarence Smith: Good morning David.
Unidentified Analyst: So first one question on sales you mentioned that the higher written comps were kind of coming from as you work through backlog. Can you give us an idea of that how far you are working through that backlog and when you see getting down to more normalized levels?
Clarence Smith: Well that was actually the higher delivered?
Unidentified Analyst: Yeah. The delivered, sorry?
Clarence Smith: Yeah. It’s balanced now our backlog is still higher than last year but it's down significantly from what it was the last quarter because we've been getting in those shipments and fulfilling those deliveries. So I think it’s basically more normalized now I think the written in delivery going out is going to be more consistent for the next several quarters.
Unidentified Analyst: Got it, okay. That's helpful. And then on the variable SG&A it sounds like a lot of that was as hiring in advance of some of the new store openings. Dennis can you comment on the cadence of that number going forward in Q3 and Q4. When we see a decline some of those new stores start to ramp up in production ?
Dennis Fink: Yeah. I believe we will. In the neighborhood I'd say 17.5% something like that for the next few quarters able to lower.
Unidentified Analyst: Okay. All right perfect. That's about the number I was getting to. And then outside of the strong growth in upholstery, can you comment on some of the year-over-year growth you saw in the quarter and third quarter to-date in case goods and mattresses and any other categories that stick out.
Clarence Smith: Well, the dining has been good for us. We have a program that we've developed and continue to develop particularly in the casual area that's been a driver. I mentioned that accessories was very and it continues to grow. And I think it will be a larger factor in our overall sales as our H design program builds. Bedding has stayed pretty steady. It's in the double-digit, low double-digit range as a percentage of sales as it has been and that's been pretty steady. So overall a good balance, but growth in cases for the first time in a while so that's good to see and bedrooms good.
Unidentified Analyst: Okay great. Thanks a lot and good luck.
Clarence Smith: Thank you. Appreciate it Dave.
Operator: We'll take our next question from Kristine Koerber. Please go ahead.
Kristine Koerber: Yeah good morning. A few questions first, can you talk about what you're seeing in the competitive arena. Has it become less promotional at this point or are you still seeing pretty aggressive discounting.
Clarence Smith: Well, it depends on the particular retail. I think it's pretty steady Kristine. I haven't seen any significant change in the promotions. Other than the big competitor we keep mentioning in Dallas I think it's pretty steady. I don't see real significant change.
Kristine Koerber: Okay. And then I know it's still early with the launch for the outdoor furniture in Florida, but can you comment on how that's doing and then also trends around the Memorial Day Holiday.
Clarence Smith: Well the outdoor program is now in. It was delayed as we have the problems with the West Coast port slowdown and that impacted the start of that. It's a program we're going to stay with and continue to grow and build. It’s primarily in Florida and then we roll it up to some of the coastal stores in the east. And it's had good reception, our teams are very excited about it. I don't really have a good enough track record to say how well it's doing compared to what we expected because delivery times were impacted for their for us all that. So that's a program we'll continue to work on and build for starting primarily in Florida. And Kristine the other part of your question, I'm sorry.
Kristine Koerber: Yeah trend for the quarter in Memorial Day what you saw during the holiday.
Clarence Smith: Well Memorial Day was very strong for us.
Dennis Fink: Yeah we've been up more during heavy advertised promotion periods. And July 4th is the same thing we had very strong results. So when people are shopping the most and we were doing our most advertising that we've had the biggest percent increases over last year.
Clarence Smith: I think that's pretty consistent with the industry and I don’t see that really changing. Some of that still fulfilled expectations because all of this - with the most of our guns around those promotional holiday periods, but I also think that the customers are out and think about it at those times it's a natural part of the selling program and big ticket. So I don’t really see that changing much.
Kristine Koerber: Okay great. That's helpful. And then just lastly can you remind me how long it takes for the designers to ramp up in these new stores?
Clarence Smith: Well it really depends on the experience of the designer. Some of that is also part of getting the local organization to embrace the design program and understand how it helps them. So as you move into these smaller markets, the secondary markets, it would probably take three or four months for people to embrace it feel comfortable with it. And then you have to let the local customer know that you offer that service. So it varies and I'd say that we're now more mature in our better markets we're known for. We've got a team that's experienced in it and that decorator who might have been working for an independent firm before has to learn how to adjust our system in the fact that we can complete sales quicker. And that they're more involved in helping to close the transaction. So it varies, it certainly would take several months forward to kick in.
Kristine Koerber: Okay great. Thank you.
Clarence Smith: Thank you.
Operator: [Operator Instructions]. And it appears, we have no further questions at this time.
Clarence Smith: I want to thank you all for joining us on our call and for your interest in Haverty’s.
Operator: This does conclude your teleconference for today. Thank you for your participation. You may disconnect at any time.